Walter Hess: Yes. Thank you very much. Good morning, and welcome everybody to today's conference call. It is an exceptional call today as it is the first time in this round that the electronic prescription in Germany is reality. With me today is Marcel, our CFO. We will start the call with a business upgrade and its impact on the evolution of the DocMorris digital health ecosystem followed by our full year results and the outlook on our business year this year. Afterwards, as always, we are looking forward to answering your questions. Let's begin with the key messages as shown on Slide #4. First of all, we can confirm that we are back to growth and achieved the full year outlook with an increase of the revenue of 14% in Q4 '23 versus '22, and growth of our active customer base. Overall, we improved our adjusted EBITDA by CHF 51 million in 2023, by achieving our milestones in H2, such as streamlining our organizational structure, including the corporate structure, further enhancing our logistics and marketing performance and generally reducing costs. The most important and most exciting development is that the eScript has been launched mandatorily in January and in no time became the new standard in Germany. We started successfully with eRx. First indications of market shares are promising. Next-day delivery of eRx orders is working very well, and the stability and scalability of our processes and systems are confirmed. Everybody was waiting for the release of the so-called CardLink solution. I'm really happy to confirm today that the final specifications have been published last Tuesday by Gematik and that we immediately have applied for certification, in the same day. And therefore, we expect to go live shortly. But that's not all. Later on, we will give you an update on the repeats script and our TeleClinic platform as part of the digital health ecosystem. You ramp up of the number of eScripts since January is simply amazing. By now, 120 million prescriptions that have been issued electronically. In other words, more than 70% of all Rx in the last 7 days have been issued electronically. And about 85% of doctor's practices prescribed electronically today. Within Rx, we are broadly in line with our old paper Rx market share and improved month by month despite fast switch from paper Rx to eRx and our currently limited access to only about 20% of eScripts that are printed out. That's why the full market access with the seamless carbon solution is absolutely essential for us. Last spring, our team invented a seamless digital redemption solution to redeem eRx via the NFC cable eGK with a smartphone, equal to the process in local pharmacies. Together with the European Association of ePharmacists, we agreed with the Health Ministry and Gematik to follow a certification process in order to implement the solution called CardLink, as the official for redemption channel. This week, the final specification based on a mutual content between the BSI and Data Protection Officer with Gematik and really that's absolutely remarkable, has been published by Gematik. And on the same day, we applied for certification of our product and thus, as a provider. So the approval and go live is expected shortly. Getting this accomplished is a key milestone and the prerequisite to get access to the full market and to further increase our market share. The redemption process is itself, as you see on the right-hand side on the slide, is very easy and needs only three steps. First, an authentication. Second, a digital scan of the eGK, which last normally around 5, maybe up to 10 seconds maximum. And third, already the checkout. This enables a fast and easy ordering of prescribed medication with the possibility to add OTC and Beauty Personal Care product within the same ordering process. Importantly, eRx orders received digitally by 8:00 p.m. are delivered by us next day all over Germany. And to make it even more convenient, we started an Rx subscription service already last year. In Q3 '23, we launched a pilot initiative of a convenient subscription service for patients with chronic medication demand, which now is ready to scale. A patient can benefit from a continuous delivery of all his medication throughout the year, which gives him high confidence on medication supply and increases adherence, which is clinically proven. For doctors, this process has many benefits. The German health minister even announced recently that doctors will get all the prescriptions reversed for 1 year upfront, the first time they see the patients in the year and the Minister will bring the required law into force this year. This will relieve doctors and their practices significantly, freeing up time for them and increase the efficiency in doctors' practices. Our experience of the last 6 months with this service is very positive. We can improve all key KPIs significantly, such as basket size, order frequency, retention rate, customer lifetime value and return on advertising spend. Our fully digital repeat grid service is an excellent example of what our ecosystem stands for, to bring together relevant stakeholders in the healthcare system to enable patients to manage their health in one click. And for us, it's another key success factor on the way to profitable growth. The mandatory launch of eRx is really a unique opportunity. We have launched a broad marketing campaign with Die Gesundbergs. A family who lives on a remote island is slightly [quirky] and lost the services and supply from DocMorris. The campaign is focused on switching existing Rx and OTC customers to eRx and, of course, also to gain new customers. On Slide #8, you see some [indiscernible] of the campaign, which achieved excellent KPIs with more than 400 million impressions already in digital channels and more than 200 million TV reach up to now. By scanning the QR code at the bottom right, you can watch one of our spots on YouTube. To summarize and conclude the business update. The tipping point in a EUR 55 billion market for prescribed medication in Germany is finally reached. The digitalization of the healthcare system in Germany has definitely taken off. The launch of the mandatory eScript is the foundation on which we can begin to capture the market. The launch of the seamless digital redemption channel for eRx by using the eGK and the smartphone will accelerate to address the full market potential as of now. And on top, the combination of the repeat script with the yearly upfront remuneration of the doctors will be a real multiplicator for all relevant KPIs. And if that wasn't enough, the digital entity and e-patient record foreseen by the Ministry for 2025 will even further enhance an integrated and fully digital medication supply and healthcare. So what is the impact of all of that on our digital health ecosystem? Digitization in general and the eScript especially are the ingredients of the most effective and efficient ecosystem. It allows us to extend our offering to patients and customers beyond medication and to complement it with added value services with high margins such as telemedicine, chronic care or Platform-as-a-Service. The result, beside higher revenues and margins is an increased patient loyalty and customer retention. And not to forget, the digital health ecosystem is designed to be used for international expansion and to contribute to long-term profitability. On the next few slides, we will show you that we have further developed our ecosystem, which is ready to scale with the eScript. Let me give you a concrete example on Slide #12. For specific diseases, such as diabetes, for example, we offer the chronic patient solutions, which include products, services and content to cover all their needs along their health journey. And as a result, we first can increase the basket sizes of existing customers. On this slide, you can see, as an example, our solution for diabetes patients who can buy the necessary products, including medication and medical products. Second, acquire and enable new customers by adding relevant content and connect them to specialists, if needed. And third, increase loyalty and minimize churn by offering them our Rx subscription service to cover the chronic demand. Another concrete example of our integrated digital health ecosystem approach, you see on Slide #13. TeleClinic, a company of DocMorris is the leading telemedicine provider in Germany. Meanwhile, TeleClinic was almost 1/3 of all video consultations in Germany, more than 2,000 German doctors use the platform actively, and TeleClinic powers with more than 40 insurance companies. Just recently, they won the tenders of DAK, one of the largest insurance companies in Germany and ADAC, Europe's largest automobile association with more than 20 million members. And equally, as seen for DocMorris before, also for TeleClinic, regulatory and technology change from being preventers to being drivers of the future. The digital law will remove the prior limit of 30% reimbursable telemedicine. Additionally, there is no longer a requirement to do telemedicine treatments from the doctor's practice, doctors can now also treat patients via video from home. And on the technology side, the introduction of the eSick note in 2023 and the eScript this year and the e-patient record in '25 are real accelerators of the TeleClinic business model. But not only has TeleClinic high value as part of the DocMorris digital health ecosystem, but also stand-alone shows highly attractive financials. The very motivated and engaged TeleClinic team doubled their revenue in 2023 with high margins and expect a positive EBITDA in 2024. And similar to DocMorris, they act in a EUR 50 billion largely untapped market with regulatory tailwind with an online penetration of less than 1% and an immense cost reduction potential for the healthcare system in Germany. Let me conclude the first part of today's call with an update on our sustainability activities on Slide 15. The Board and management of DocMorris have set ambitious short-, mid- and long-term targets to continuously improve in the four sectors of healthier people, sustainable planet, caring company and reliable partnerships. The most remarkable achievement in '23 is the reduction of our CO2 emissions by 13%. But of course, also all other targets are equally important and followed with the same high management attention. Also for the year 2024, we have defined new ambitious targets which are part of the short-term incentive scheme of the Executive Board. And with that now, I would like to hand over to Marcel to give us an update of the financials.
Marcel Ziwica: Thank you, Walter. The financial year 2023 was characterized by three topics: first, our path to profitability; second, the return to growth; and third, the strengthening of our balance sheet. Let's start with profitability. We can clearly see on the ongoing progress during the last 2 years, with a significant EBITDA improvement of CHF 83 million. All the measures for breakeven shown on this chart have been initiated and will continue to have a significant positive impact in the future. The main focus in the second half of '23 was on one, further developing the customer experience for example, through faster delivery; two, expanding the range of services such as our long tail marketplace; and three, the increase in convenience of the ordering process. Here, the faster checkout was a very important milestone. This altogether will lead us to profitable goals from 2024 onwards. In parallel, to the EBITDA improvement, we also managed to return to growth, as is shown on Slide 18. We see steady growth in consolidated revenue since H2 '22. In H2 '23, sales increased by 15.5% year-on-year. We do not feel a lot of influence from inflation as Rx prices are fixed and our OTC BPC prices are still significantly cheaper than local pharmacies. Gross margin expanded by 150 basis points year-on-year. The improvement is based on better purchase conditions, sales price optimization and brand integration. Even though the second half was slightly lower than anticipated due to lower prescription drug sales, the overall positive impact is sustainable. We expect the implanted measures to have a positive impact also in 2024. Our EBITDA margin improved by 430 basis points despite additional roughly EUR 5 million of eScript ramp-up costs for marketing and CardLink development. As usual, we show also the breakdown into the geographical segments. To reflect market standards, in this view, corporate costs are from now on fully allocated to the segments. Obviously, by far, the greatest impact comes from Germany, I covered the development already with the group figures. In Europe, the consistent focus on breakeven leads to a 9% decline on sales, but a strong increase in gross margin and a very pleasing EBITDA margin improvement of 10 percentage points. In our underlying KPIs, we see overall a very stable and sustainable development. Corresponding to the inflection point in revenue, also a number of active customers grew again in the second half of 2023, with 300,000 new customers gained in the fourth quarter. [indiscernible] decreased on a 12-month basis because of the significant reduction in marketing spend to focus on profitable customers and the brand integration in the second half of '22. Basket size and other frequencies are very stable and continue to show the very attractive unit economics of Rx, which is our growth area for the coming years. On Slide 21, we see our P&L on a full year basis. Here, I would like to highlight the significant reduction in operating expenses as a result of the breakeven measures. As already explained in the first half communication the brand integration together with site closures like Medpex and Eurocom was one important driver. This resulted in the financial in-sourcing of significant part of the business into the scope of consolidation. More specifically, this leads in general to one, an increase in consolidated revenue and thus a reduction in the difference to external revenue; two, a significant increase in the gross margin; and three, an increase in personnel, marketing and distribution expenses. Despite this, the absolute number of personnel and marketing expenses declined because of enhanced marketing efficiency, improved logistics performance and the streamlining of our corporate structure. The sustainable development on all line items show an overall positive trend and strongly support the path to profitability. The EBITDA adjustments for one-offs reduced again and amounts to CHF 3.5 million, mainly driven by provisions for restructuring and integration. The financial results were negatively impacted by noncash foreign exchange translation due to the exchange rate at the balance sheet date. However, cash interest costs remained stable year-on-year. Together with the net income from discontinuing operations, it leads to a positive contribution to [indiscernible]. In the balance sheet, we see a clear strengthening mainly caused by the sale of the Swiss business. The equity ratio increased to roughly 50%. Total assets declined by CHF 233 million and underlying the highly attractive asset-light business model. The cash and cash equivalents, including current financial assets of CHF 150 million enables the repayment of the board majority in November and supports our operations. As at the balance sheet date, the cash position was negatively impacted by a temporary increase in net working capital of EUR 24 million. The reason for this was to ensure delivery capability over the holidays and prevent bottlenecks in incoming goods. The normalization with a positive cash impact already happened in the first quarter '24. In addition, the sale of the Swiss property will generate a further cash inflow in Q2. In summary, we continue to show strong progress. We have achieved our '23 targets and are reliably on the path to profitable growth on the basis of a strong balance sheet. With that, I hand back to Walter for the outlook.
Walter Hess: Yes. Thank you, Marcel. Yes, so let's conclude the presentation with our financial outlook, which is especially difficult to provide this year and therefore is indicative. Let me explain how we think about 2024. First, we would like to remind you again that the German prescription market with meanwhile, EUR 55 billion is 5x larger than the OTC market and has an online penetration of 0.7% only as of now. The deep dive into the unit economics, as shown on the left-hand side of the slide, shows that the annual revenue and the contribution margin of a patient with chronic demand in absolute value is more than 5x higher than for an OTC customer. Combined with a significantly higher retention rate, this leads to a 10x higher customer lifetime value. So what does this mean for us in this year. Our starting point is breakeven in our base business. The eScript is a reality and the convenient digital ordering solution via CardLink is confirmed and coming very soon. And based on the unit economics and the customer lifetime value comparison. It makes a lot of sense to invest in Rx customer acquisition now. We already started our campaign, and we follow a milestone-based marketing approach to educate patients and acquire new Rx customers. Given how dynamic this market is, flexibility is required on the absolute amount of marketing spend. And depending on the speed of adoption of the online channel, the Rx contribution margin can partially or completely compensate their marketing expenses and might lead overall to a negative to neutral EBITDA in 2024. Now coming to the concrete outlook now. Today, the eRx ramp-up is not entirely predictable. However, as the eScript is a reality now, we include eRx in our 2024 outlook. Based on this, we provide an indication for our outlook. External revenue in constant currencies to grow above 10% for full year '24 compared to '23. Adjusted EBITDA is expected in the range of breakeven to minus EUR 35 million in '24. Capital expenditure for '24 is planned between EUR 30 million and EUR 40 million, and our midterm EBITDA margin target is confirmed at around 8%. And a look into the current trading shows that altogether, sales are in line with this indication. OTC sales grew nicely. Also partially based on the fact that we still were in consolidation phase 1 year ago. Paper Rx sales, of course, decline as patients adopt to eRx quickly. And our eRx market share based on the still limited accessible print out art is encouraging, which largely compensates the paper Rx decline. We expect the first half year figures will give us further clarity on the eRx ramp-up and the more accurate view on the outlook. With this, we complete our presentation and now are looking forward answering your questions. Thank you.
Operator: [Operator Instructions] The first question comes from Sebastian from UBS.
Sebastian Vogel: Can you hear me?
Walter Hess: Yes, yes, we do.
Sebastian Vogel: Great. I will ask three questions. I would ask them one by one. And the first one is on the guidance. With regard to the adjustments that you would include there for your EBITDA. Do you have any sort of indication or sort of a ballpark, which we can look at in that regard?
Marcel Ziwica: In general, we do not really plan on adjustments because they are one-offs. But what we see is due to the sale of the property for the Swiss business, there will be an exceptional gain because the expected sales price is above booking value.
Sebastian Vogel: Got it. And quickly with regard to the balance sheet, obviously, with regard to the cash position just having a couple of things that I want to throw at you, I want to know how we think in that regard? So we have the EUR 150 million as a starting point, there will be the earn-out, there will be the sale and leaseback that potentially add some EUR 70 million, so we get to EUR 220 million. Then you have the bond takes out EUR 90 million, so we get EUR 130 million. And then I have the EBITDA of minus EUR 17 million. I have some CapEx of minus EUR 35 million. And I assume you will grow eventually and therefore, potentially then you will also have some net working capital in -- more net capital needs around like maybe EUR 20 million which would bring me to around like EUR 60 million by the end of the year. Is that the sort of the direction from a cash bridge that you also think in this sort of direction? Or do you have any other thoughts that you would like to share in this context?
Marcel Ziwica: I can follow your thinking. Maybe two topics, one is in terms of net working capital. We will have a positive impact or we already had now because I mentioned the EUR 25 million increase temporarily on the balance sheet date. This we already reduced. So there is a positive inflow. And the second point is in the EUR 150 million, the earnout of the Swiss business is already included.
Sebastian Vogel: Perfect. That would actually put me to my last question. If you could sort of spend a couple of words on these EUR 150 million, what is actually all in there? Let's put that rates current financial assets, if I'm not mistaken, I didn't found sort of a composition of that one in the annual report. And so I have a better understanding what is in there, if you can break it into pieces, that would be helpful.
Marcel Ziwica: Our cash position, then we have a cash deposit as I said, and then it's the earnout, totally [indiscernible].
Sebastian Vogel: Got it. So in that sense [the earnout] minus the cash equals to essentially the deposit?
Marcel Ziwica: Yes, correct.
Operator: The next question comes from Urs Kunz from Research Partners.
Urs Kunz: I have also several questions. First question on the outlook. This part of minus EUR 35 million, so at the lower end, minus EUR 35 million of EBITDA. Am I correct that it would be kind of the case if sales of Rx won't rise at all this year and the marketing campaign will be EUR 35 million in for Rx? And then maybe you can give a little bit the hint of how you get to the EUR 0 million EBITDA line. How much Rx sales would that imply? Then on the top line growth of plus 10%, which I think this is slightly conservative, I see it 10% plus. But alone on the OTC side, that's the -- if you just keep on the running rate for Q4 2023, you would have already on the OTC Germany side, a growth of approximately 12% for this year in euro. Maybe you can elaborate a little bit on OTC Germany, what do you expect this year? How much growth you expect there? And am I correct in the marketing budget for this year, you can't give us a real figure because it depends on how things evolve on the Rx but can you give us at least kind of a range in what kind of marketing budget you're thinking about for 2024?
Marcel Ziwica: Yes, maybe starting with the last one. On our base case, we have a marketing-based marketing approach, and we see marketing spend for eScript between EUR 20 million and EUR 30 million and we need, of course, the flexibility to steer this really on the achieved milestones during the year. And with this, to your first question about the scenario of the minus EUR 35 million, as your thinking is correct, we spend all the marketing and there is less of few contribution out of additional sales, given also that the base business is in line with expectation, this will lead to this approximately minus 35 million. And on the other hand, if it's more like in Sweden where we do not need any marketing spendings to get additional new Rx customers, then we will approach the neutral EBITDA line. Then the other question was about the growth of the OTC business. Our overall guidance is that we go above 10%, including Rx. You mentioned growth rate of OTC in the fourth quarter last year, there is very important to see the comparison in previous year, and this was quite low and will increase during the year, 2024. Therefore, we see the OTC goes below the growth we have shown in the last quarter.
Urs Kunz: Maybe back to the OTC growth in -- even if I take on the Q3 of OTC in Germany and multiply that by 4, I get a growth rate of more than 10% for 2024. So is it correct that -- that's the minimum you would also expect?
Marcel Ziwica: Our assumption is that we will grow our OTC business in line with market development. And in this base guidance of more than 10%. Our assumption is high single-digit OTC growth. And the focus still is on the breakeven for our base business also in 2024.
Operator: And the next question comes from [indiscernible] from HSBC.
Unidentified Analyst: One for me, please. I'm asking them on behalf of Christopher Johne. So my question is on the CardLink. Can you first -- the Gematik comment that Carling will be temporary in nature. And in relation to that, I mean, does it matter that how preferential is CardLink is in your view versus the digital health ID?
Walter Hess: Yes. So thank you for that question. Yes. So CardLink has now been -- the specification has been published. As said, we have handed in the certification, that approval for certification. And the date which has been communicated with March 2026 refers to a partial software piece within CardLink called VSDM, so it's a connection to VSDM. And this has to be replaced by March 26 by Gematik to a software piece called POPP. So they are not ready yet. They will change it. And this is even in the written in the law. And that counts not only for CardLink, but for all eGK related solutions also in the local pharmacy. By then, this software piece has to be changed. And it's a step towards the digital identity because, of course, the digital identity , this will be the final and target solution for the whole market. But until the digital identity is fully rolled out in Germany. This will take time, 2, 3, maybe even 4 years. And until the market is there, it is needed to use the eGK and it is needed for us to use the CardLink solution.
Operator: [Operator Instructions] The next question comes from Milan Koch from Deutsche Bank.
Milan Koch: I also have three if I may. The first one is on the market share in the QR code market. Could you share some color on your market share within the eRx market in Q1? You mentioned that you are back at your old market shares but what exactly does this mean? And then secondly, on the doctor reimbursement changes, [indiscernible] planning to implement. Do you have any view on when this could be approved by the cabinet? And when do you expect this to be discussed by the German parliament? And then finally, I have to try my luck, on the NSC solution, you mentioned you expect to launch shortly. Is it fair to assume that you can launch your solutions over the coming 2 weeks? Or could it take a bit longer?
Walter Hess: Yes. So on the QR code and market share question. So as you know, we -- at the moment, we really have only access to e-prescriptions, which are printed out at the doctor offices or practices. And we -- our estimate is that this is maximum 20%. And as of this number, this of -- the share of the market, we are, meanwhile, in March back at the market share, we had before on the total market with PRx, with the paper prescriptions. So this is what we refer to. On the second question, it's called the [Foreign Language]. Sorry for not translating it in English, but that's the official name. And there, we expect and the Minister, the Health Minister plans to publish a first draft in April or May latest, and he plans to put the law in force still this year. So we expect that might be in end of Q3 or maybe in Q4. So that's what we see at the moment. And the third question was about the launch of our CardLink solution, the timing. And yes, we expect it to be within that range within a few weeks, be it 2 weeks or 3 weeks. So we will see there is also Easter where people take our vacation, but it is really ahead of us in the short term.
Operator: The next question comes from Noah Sven from Kepler Cheuvreux.
Unidentified Analyst: It's a theoretical question on how the CardLink actually works. If I were to go to a practitioner and I would get a prescription and then I would scan my card through. And then for some reason, I would lose my electronic health card and someone would pick it up, and he were to scan it with the CardLink, what would he be able to see? Would he be able to see my previous prescriptions? I mean, obviously, if I lose the card, my birth date and picture will be accessible, but will also be my address or previous prescriptions be accessible?
Walter Hess: Yes. So first of all, there is -- we make a link between the card, the cardholder and the account holder. And I would compare it to the situation in local pharmacy. So if you lose your health card, someone picks it up and walks into the local pharmacy. And just shows the card that says, "This is my brother, I just pick up now his prescriptions. So there, you will see and hear the same information with CardLink, as you would see in a local pharmacy. And so it's completely comparable, and it's the same specification at the same process basically.
Operator: The next question comes from Michael Heider from Warburg Research.
Michael Heider: I have only one left, which is regarding the bonus on Rx. What is the situation there? Are you planning to give bonus also on eRx? Or is this simply for paper PRx orders?
Walter Hess: Well, basically, a fully digital redemption channel in combination with repeat script has really an outstanding customer experience and we think that this will be and has to be the driver for sales and for patients to redeem the prescriptions with DocMorris. But we have different loyalty programs also for different brands. And so the details, I'd just ask you to see on the website as everything is published there.
Operator: At the moment, there are no further questions. So I would hand over back to Mr. Hess.
Walter Hess: Yes. Okay. Thanks a lot to all of you. Thank you for taking your time. For us, it is really, and I hope also for you a special moment. And this tipping point is really exceptional, and we worked many, many years to come to that point. And as said before, up to now, regulatory and also approved technologies were more pre-tenders for our business, and they change now. And they will not block us anymore but they will even help. And this is what we worked for a very long time. And now it's really time to execute, and I can just guarantee you all the DocMorris team is extremely motivated and engaged to do so. And therefore, yes, we are looking forward to seeing you soon on the road. And yes, I wish you a very nice day. Thanks a lot to all of you.